Operator: Welcome to the SIGA Business Update Call. During the presentation, all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Before we turn the call over to SIGA management, please note that any forward-looking statements made during this call are based on management's current expectations and observations and are subject to risks and uncertainties that could cause actual results to differ from the forward-looking statements. SIGA does not undertake any obligation to update publicly any forward-looking statements to reflect events or change circumstances after this call. For a discussion of factors that could cause results to differ, please see the Company's filings with the Securities and Exchange Commission, including, without limitation, the Company's annual report on Form 10-K for the year ended December 31, 2020, and its subsequent reports on Form 10-Q and Form 8-K. I would now like to turn the call over to your host Dr. Phil Gomez, Chief Executive Officer. Please go ahead.
Phil Gomez: Thank you for taking the time to join today's call. Today, I'm joined by Dan Luckshire, our CFO. Dan and I are pleased to have this opportunity to provide a quarterly update on our business and upcoming objectives. On this call, I will provide a business update and Dan will provide a financial update. We'll then be happy to take any questions you may have. The first quarter of 2021 reflects our continuing momentum for international sales. We delivered approximately $3 million worth of oral TPOXX to the Public Health Agency of Canada, PHAC, in the first quarter. And in April we delivered an additional $7 million worth of oral TPOXX to PHAC. Supplementing these international deliveries, we are working towards further sales to one or more new jurisdictions in 2021, with the second quarter being the most likely scenario for the next sale. As general background on the international market, I would like to reiterate comments from the last investor call. While we are currently having success in generating international orders this year, we expect the pandemic will continue to subject SIGA to the risk of international business development activities coming to fruition slower than anticipated. In contrast, post pandemic, we believe that international governments will be better situated in terms of resources, experience focus and personnel to fully appreciate the importance of health security preparedness and the value that oral TPOXX provides in that context. As such, we believe that the post pandemic environment should have a net positive impact on our international business development success. In sum, we expect international sales in 2021 maybe concentrated in the first half of the year and gain additional momentum in 2022. With respect to the BARDA 19C contract, we continue to expect sales related to this contract based upon an option exercise to be concentrated in the second half of 2021, as the new administration leadership gets confirmed in COVID-19 response activities, hopefully become less burdensome on the staff with whom we work on our programs. Like many people here in the U.S., we are encouraged by the progress in addressing COVID-19 especially the rapid rollout of vaccines, led by our government partners at BARDA and [indiscernible] office at HHS. We know this year has been extremely challenging, especially for them as well as many others, but support for the development and rollout of the vaccines, it's been an amazing accomplishment. With regard to the pandemic, we continue to monitor its impact on our operation. As a general comment, we as a company have done a good job navigating the uncertainty of the pandemic. The filing of our intravenous formulation of TPOXX with the FDA announced this week is an example of continuous steady progress toward our corporate objectives, amidst the evolving environment. And concurrent with the FDA filing process for IV TPOXX, we have started commercial manufacturing for IV TPOXX with the goal of delivering this year approximately 20,000 IV courses of TPOXX under the base period activities within the 19C contract. As referenced the revenue value of 20,000 courses for $8 million. As we look at planning for IV TPOXX in the context of option exercises under the 19C contract, it should be noted that the production of COVID-19 vaccine has significantly impacted the availability of materials for sterile products. This includes items like vials, filters, excipients among other things. We will work with BARDA should be exercised options for IV TPOXX, in terms of securing necessary supplies and manufacturing capacity. In the interim, we are able to fully support the 1.7 million core stockpile with oral courses as long as we receive option exercises [ph]. At this point, I'd like to take a few minutes and talk about our new partnership with Cipla Therapeutics. By way of background, there are a number of products that the U.S. government is seeking to support through development and procurement for the Strategic National Stockpile or SNS. One category is novel antibiotics, to replace the generic antibiotics in the SNS for bacterial pathogen threat. For example in 2019, the U.S. government awarded a contract for a novel antibiotic, which potentially could be used for a biodefense indication. This contract includes up to approximately $150 million of procurement funding as well as over $100 million of potential development funding. Last year, BARDA issued a request for information or RFI, for other potential novel antibiotics, which could potentially lead to a contract award, similar to the award made in 2019. As such, we have teamed with Cipla to pursue a potential future RFP in this area. As background Cipla's antibiotic exemplary is approved by the FDA in the U.S. for a commercial indication but was supported by BARDA during its development for treatment of bacterial threats. In the collaboration with Cipla, we are seeking to leverage our extensive expertise in animal rule product development, to support new biodefense indications for ZEMDRI and to be the prime contractor with the U.S. government if there is a contract awarded. In turn, Cipla brings to the table ZEMDRI and extensive experience with manufacturing and a global supply chain. In addition to the near-term focus on a potential RFP, we continue to look for additional opportunities to collaborate with Cipla and other companies to bring needed products to the U.S. government. I'll now pass the call over to Dan, who will provide a financial update. Dan?
Dan Luckshire: Thanks, Phil. As noted earlier in the call, we expect international sales likely to be concentrated in the first half of the year and sales to the U.S. government to be concentrated in the second half of the year, following an option to exercise. As such, product revenues for the first quarter reflect approximately $3.4 million of international oral TPOXX deliveries. This amount already surpasses total international sales for the entirety of last year. Total revenues for the quarter including research and development related revenues were approximately $4.8 million. Operating loss for the first quarter which excludes interest income, taxes, and adjustments to the fair value of the warrant, was approximately $2 million. Net loss for the first quarter was approximately $1 million. In turn, fully diluted loss per share was $0.02 per share for the quarter. At March 31, the cash balance for the company was approximately $107 million. But during the first quarter, SIGA repurchased approximately 1 million shares of its common stock for approximately $6.5 million. As of March 31, 2021, the Company has cumulatively repurchased approximately 5.6 million shares of its common stock, since the inception of the share repurchase program in March 2020. Looking beyond the first-quarter financial results, there remains approximately $450 million of TPOXX procurement revenues, tied to existing contracts. Most of which is currently expected to be earned approximately over the next four years, that is between March 31, 2021 and the end of 2024. These revenues would come from the 19C BARDA contract and the Canadian contracts. With the 19C BARDA contract, containing up to $414 million of procurement related options, remaining for future exercise by BARDA. In April, the Company delivered approximately $7 million of oral TPOXX to the Public Health Agency of Canada, under an existing contract. Such amount will be included in the second quarter financial results. As a quick reminder, the Canadian contracts were both awarded to Meridian Medical Technologies under the international promotion agreement that was entered into by the parties in 2019. This concludes the financial section of the call. At this point, I'll pass it back to Phil for a brief summary.
Phil Gomez: Thanks, Dan. I want to underscore that we strongly believe that our achievements in 2020, in the first quarter of 2021 were a solid foundation to continue to grow our business. We have approximately $450 million of TPOXX procurement revenues tied to existing contracts, and we are working to build on this base of procurement contract with international sales and initiatives such as the Cipla collaboration, I noted earlier in this call. Additionally, we believe the PEP program supports consideration of a larger SNS stockpile, which in turn with the result in larger U.S. government procurement contract. Moreover, as mentioned previously, we also continue development of a liquid suspension pediatric formulation of TPOXX with the support of BARDA. While revenue from government contracts can be lumpy, we believe the earnings power of the TPOXX business is substantial. As earnings generate cash, we will continue to examine the best use of our cash, including continuing share buybacks, as well as potential investments or acquisitions, that provide an opportunity to grow earning, diversify our business and leverage our successful platform. Before I close out with some goals for 2021, I'd like to share a brief corporate update. And as many of you have seen in our proxy filing, we have two longstanding Board members retiring in June. I'd like to personally thank Dr. Eric Rose and Tom Constance, both of whom have served on SIGA Board for 20 years. They came to SIGA before the horrible events of 9/11 and the COVID pandemic, and thanks for their leadership SIGA's help make the world a more secure place, with a highly effective smallpox antiviral in the U.S. stockpile. Our Board and management team are dedicated to building on their legacy. In some, as we look ahead, we will continue to pursue a full range of avenues in 2021 and beyond, to create value, including continued delivery of oral TPOXX courses under the 19C BARDA contract; pursuit of U.S. stockpile expansion to cover PEP; pursuit of additional international sales through Meridian and international regulatory approvals in Canada and the EU to support those sales; seeking approval for label expansions for TPOXX to include PEP and other orthopoxviruses; expanding and supporting ongoing oncology collaborations for TPOXX; and leveraging our capabilities for new formulations and potential new products. This concludes our prepared remarks and we will now begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Maxim Jacobs with Edison Group. Please go ahead.
Maxim Jacobs: Hi guys, thanks for taking my questions. So I was just wondering on the international deal that you mentioned that might be coming up, anything you could say about what the deal might look like?
Phil Gomez: Hey, Max, thanks so much for joining the call and thanks for the question. Yes, there is not much we really can comment on this point until we get there. I would say, as we continue to partner with Meridian, we continue to understand the international market. And what I mean by that is, we understand that militaries and civilian agencies tend to think about these things separately. We also see that unlike in the U.S., where there was a large bolus of funds put in to Project BioShield, which allowed for multi-year procurements. What we tend to see is people thinking about starting a procurement and having that be a bit of an annual procurement, which allows them to build the stockpile over a number of years. So, that's certainly what we saw in Canada and I wouldn't be surprised as we go forward to see that as other countries develop. I would say, as I said on the last call, these agreements do take time, governments have many approval processes, folks are focused on COVID, in many of the agencies we work with. But we continue to work closely with Meridian in the countries to advance the sales and ensure that they have access to what we think is an important product. So stay tuned, Max. Thanks for the question.
Maxim Jacobs: Wonderful. That was very helpful. And then just one other question, I mean, anything you can say about like the economics of the Cipla collaboration, what they might look like?
Phil Gomez: Yes. So I think a key part of that collaboration is, we're both bringing a lot to the table, part of what RFI wants to do is develop these products for things like tularemia, anthrax, plague. So it requires animal rule development, so we think we bring some real expertise there. And as I mentioned, the plan there is for us to be the prime contractor. There is two parts for the contract, is the cost reimbursement part. So our investors who have been with us a long time know, we get reimbursed for our R&D expenses. So, we expect that to be there in the previous contract from 2019, awarded to another company, that was about $100 million. So those tend to be net very slightly positive for us. But more importantly, there will be procurement and it will not be - we don't anticipate the order of magnitude of key parts. The last contract was for about $150 million. And certainly we will share the economics of Cipla recognizing the substantial benefits that it [ph] will provide. So it will be competitive, so stay tuned as it gets released, then we compete for it. And then we'll provide update on the economics going forward, but I hope that outline of the contract gives you a general sense of what the opportunity is. We think it's meaningful, but certainly not anywhere near the opportunities, so that we have with TPOXX.
Maxim Jacobs: Yes, that was very helpful. Thank you. And that's all my questions. So, thanks for taking my questions.
Dan Luckshire: Thanks, Max.
Operator: [Operator Instructions] We do have a question from the line of Teddy Green [ph]. Please go ahead.
Unidentified Analyst: Good afternoon, guys. Thanks for the press release and the info you providing, Phil. Just to clarify again, you said that another foreign order could come in the second quarter, not from Canada?
Phil Gomez: That's correct, Teddy, and thanks for joining and thanks for the question. So, yes this will be another jurisdiction outside Canada, correct.
Unidentified Analyst: Okay. And then - so I like your input on this. So if you see - a country order, say the smallpox vaccine, would it make sense for them to not order an antiviral? Or would it make sense for them to also have a smallpox antiviral, in addition to the smallpox vaccine?
Phil Gomez: That's a great question, Teddy. So we actually, as we think about the market and certainly with our partners at Meridian, we think about a lot of variables. We actually think a country the stockpile of the smallpox vaccine is more likely to also purchase TPOXX. And the reason, I say that is, the inertia of getting a country to really focus on such an important threat of smallpox, tends to be the bigger lift. Once they understand the threat, we're very confident, they see the value - antiviral drug like key parts, because they have certainly gone through the exercise of knowing if smallpox demerge [ph], it would take a while to diagnose as the 14-day asymptomatic stage. And there would be a substantial risk of people even with a relatively rapid vaccination. So, we actually think that's a supporting indication of their potential purchase of TPOXX.
Unidentified Analyst: Okay. Thanks for that answer. And I agree with that. I would just - two then clarify, did see Bavaria, Nordic, did announce delivery to three unnamed European countries of - smallpox vaccine. So hopefully those countries are may be looking at purchasing TPOXX too. Obviously, timing is hard with the pandemic. But I feel pretty confident that those three countries, they're unnamed obviously. But would hopefully be looking at purchasing TPOXX, in addition to the smallpox vaccine. I have another question for you - this is actually two questions for the 19C contract. Let's talk about the IV first. And I'm just looking at Asper's [ph] justification for budget request for fiscal year 2021. And I'll quote from them, and I'll say Project BioShield in fiscal year '21 budget request supports late-stage development in procurement of an IV formulation, of a currently stockpile smallpox antiviral drug. And this will support execution of an existing contract option and they were requested $20 million. So, I know, I heard you say that you are going to be delivering IV from the base contract. So, are you anticipating and I'm assuming that's it for CLIN 0006? So could there - be another order on top of the base contract deliveries of IV formulation?
Phil Gomez: So, I'll let Dan answer the CLIN number, I just want to make sure I have that right. So, we certainly will work with BARDA on the IV in any orders they have. We're not giving guidance on it. We just haven't been to a place where we understand their intention, certainly they supported the development. They put 180,000 roughly courses in the 19C contract with options. So, we anticipate they will have additional options and we'll work with that. I assume Teddy, you're probably looking at the multiyear budget justification, the multiyear professional judgment budget, which they do project out on that. It doesn't always have the timing that they hope to have, but certainly we believe IV is a very important part of the stockpile and we'll work with BARDA to make sure we exercised options and get the right amount for them in the stockpile. Dan, do you want to just clarify on the base contract, the IV option that we're talking, for the IV part, CLIN in the base contract?
Dan Luckshire: Right. So, it's CLIN 4 I believe that's related to the IV, within the base, and that's a 20,000 courses. And then there is a series of options within the contract for the IV, one of them is CLIN 13, and then another one is CLIN 18, and then other ones CLIN 23. So, there is a series of options which I just went through the numbers.
Unidentified Analyst: Okay. I did see though, I think it was earlier this month, there was like a very, very small nominal amount of money for CLIN 006, which also was for an IV formulation, maybe, is that for a more instead [indiscernible] like money for clinical studies or non-clinical studies?
Phil Gomez: Yes. I appreciate the question, Teddy. We do have, and I imagine you're probably looking at the sam.gov website. We do have a variety of non-material tight modifications like that, I think it was $10,000 for various R&D activities. So, it could be a variety of things that are slightly more expensive or less expensive. And we work with the government to say, okay, if it's more, do they agree, it's a reasonable reason that it's more, so that's modified. But that would be, those types of things are typically associated with our R&D cost reimbursement work, we're doing under the - those contracts
Unidentified Analyst: Understood. And I look, I mean, just to see movement on that as a positive. And my interpretation confirms that you will be delivering IV formulation hopefully sooner rather than later. And also, Phil, just you know, what I was quoting from was not the multiyear budget, but for the justification of the budget request for fiscal year 2020 [ph].
Phil Gomez: Okay, thanks.
Unidentified Analyst: And so - so here is my next question, this maybe my final question, this is for oral - now from 19C contract. And also from that same document, the SNS budget request, they say that fiscal year '21 prioritize its funding for SNS, smallpox and anthrax portfolios. And then, I'm looking at your, the 10-K, I'll quote from your 10-K, that came out in March. Based on prior product delivery activity and current FDA approved shelf life of oral TPOXX, the company estimates that approximately 1 million courses of smallpox antiviral treatment would need to be delivered to the U.S. government between 2021 and 2023, in order to maintain stockpile levels of unexpired smallpox antiviral treatment during this period. First of all, I looked at your product deliveries starting in 2013, all the way up to 2018, I do agree with that estimates. I also know for the 19C contract there is only 1,89,000 oral courses remaining after the first option was exercised. So, that will look to be that the majority of the three unexercised options would be procured between this period, and I'm assuming the second half of '21 into the end of 2023. So, after all that stuff, I just said, can you give me your opinion on whether I'm thinking correctly on that?
Phil Gomez: Sure. So appreciate it, Teddy. So you did very good diligence and it - very detailed question, so I appreciate that [indiscernible] the details. So, from a strategy perspective, look, we know, when they established the contract in 2018, the intent was to essentially resupply oral and IV, and maintain their stockpile. I'm careful not to speak obviously for the government is entirely under their prerogative, but we certainly believe that what we put in the Q and as everyone knows, we continue to manufacture products to make sure, we can support that stockpile. So, we continue to work closely with the Strategic National Stockpile, with BARDA and with the Assistant Secretary for Preparedness and Response office, - not, but who is not confirmed yet, by the Biden administration. But certainly what you outlined is how we've been thinking about it and we continue to work with our government partner to execute on that. Dan, anything else you want to add?
Dan Luckshire: Yes, just as background is, we delivered product when creating the stockpile between 2013 and 2017, and that product has seven-year shelf life. So, when you roll forward, that means that the whole stockpile would turnover between 2020 and 2024. So far, under the 19C contract, when you take into account the option exercise, as well as a small amount of oral courses delivered under the base period activities, we've delivered approximately 400,000 courses. So, that leaves approximately 1.3 million courses, that will be expiring in the replenishment between now and the end of 2024. And as you pointed out in the 10-K, we essentially just pointed out the next three years.
Unidentified Analyst: Okay, great. Thanks a lot guys. Appreciate it.
Operator: [Operator Instructions] Our next question comes from the line of Andrew Sole with Esopus Creek Advisors. Please go ahead.
Andrew Sole: Thank you, Phil and Dan, thank you for taking my question. I just had two brief questions. The first one, with respect to your Cipla strategic partnership, were there any research and development expenses incurred in the first quarter or the partnership?
Phil Gomez: Dan, do you want to comment on that?
Dan Luckshire: Yes, certainly. So there have not been any research and development expenses incurred related to that partnership. We have been coordinating with our partner, but so far, expenses of any material nature haven't been incurred.
Andrew Sole: Okay, great. Thank you. And then my last question, the President put forth this infrastructure bill. And I think one of the iterations has been, commentary and increasing biodefense funding. And specifically, not necessarily related to COVID, do you have any color around that Bill and sort of where things are at the moment?
Phil Gomez: Yes. So, Andrew, thanks for the question. So there has been some encouraging signs out of the new administration that this is obviously an important area. There was some language in the initial stimulus back in January, February, that had some language around countermeasures for not only COVID, but other pandemic potential products. And as you point out, the infrastructure bill also has some flexible language. We're obviously supportive of that. We think preparedness is a lot cheaper than response and have been sharing that message with our colleagues that do that funding. I will say though, the other color part of that is the new administration has come in, they're very focused on COVID and there is a lot of moving pieces there. So we are encouraging and continue to talk to the administration about the trade groups, as well as ourselves in focusing on that, and the probability of the infrastructure bill is certainly not 100%. We can all probably put our own handicap on it. But if that language was in there, would certainly be supportive and think that's important. We have seen language that people recognize there are things that really would be helpful to have in the stockpile, and unfortunately weren't there predominantly for funding reasons. And so it's very timely and important for us to reiterate everybody, announce the time with the lessons we've had in the last year, to prepare and certainly something like smallpox is at the top of the list, given the potential threat that imposes, and that's been articulated by countries around the world, as Teddy pointed out by buying smallpox vaccine. Bill Gates pointing out, that can be unfortunately, synthetically made pretty easily in a whole host of other threat. So, we continue to monitor it closely, but unfortunately infrastructure bill hasn't passed yet. So we'll continue to monitor it. Thank you.
Andrew Sole: Okay, great. Thank you, guys. Thanks for taking my question and look forward to hearing the news for [ph] the second half - for the first half. Thank you.
Operator: I'm showing no further questions at this time, I will turn the call back over to the presenters.
Phil Gomez: Hi, it's Phil. Again, I'd just like to thank everybody for joining today's call. Appreciate you're following and we'll look forward to continuing and reporting updates and providing an update next quarter. Thank you all very much.
Operator: Thank you. That does conclude the conference call for today. We thank you all for your participation, and ask that you please disconnect your lines.